Operator: Hello, ladies and gentlemen. Thank you for standing by for LightInTheBox’ Third Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, there will be question-and-answer session. Today's conference call is being recorded. I would now turn the call over to your host, Ms. Jenny Cai. Please go ahead, Jenny.
Jenny Cai: Thank you, operator. Hello, everyone, and welcome to LightInTheBox third quarter 2023 earnings conference call. The company's earnings results were released via Newswire services earlier today and are available on the company's IR website at ir.lightinthebox.com. On the call from LightInTheBox today are Mr. Jian He, Chairman and CEO; Ms. Yuan Jun Ye, Chief Financial Officer; and Ms. Wenyu Liu, Chief Growth Officer. Mr. He will provide an overview of the company's strategies and recent developments followed by Ms. Ye, who will go over its financial results. Following our prepared remarks, we'll open the call to questions. Before we proceed, please note that today's discussion may concern forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from the company's current expectations. To understand the factors that could cause results to materially differ from those in forward-looking statements, please refer to the company's Form 20-F filed with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Now I'd like to turn the call over to LightInTheBox Chairman and CEO, Mr. He. Please go ahead.
Jian He: Good morning, and good evening, everyone. Thank you for joining our third quarter 2023 earnings conference call today. Amid the third quarter's evolving macro environment and moderate growth expectations, we continued to execute our core strategy with focus on efficiency and profitability improvements. Our total revenue reached $154 million, led by apparel sales totaling $127 million, notably driven by improving operating leverage and our product cost management. Our bottom line turned positive in the third quarter, which is typically a slow season. During the third quarter, we continued to advance our branding strategies designed to highlight our values as well as our reputation for high value for money offerings and a seamless online shopping experience. We also improved our platform’s features and layout to offer more convenient and smoother online shopping experience to our customers. We leveraged our innovative technologies and advanced data capabilities to observe customers' behaviors and habits and gained insights into their needs. We referenced motivation and pain points and enhanced our brand force offering and functions accordingly. Our advanced technologies also enable us to improve operational efficiency across our supply chain, merchandising, marketing, logistics, and customer service management during the quarter. As we head towards the end of 2023 and beyond, we will remain focused on improving operational efficiency and pursuing profitability while navigating a complicated macro backdrop. We are in a rapidly evolving world where the only constant is change, but we remain confident in the global e-commerce market's long-term growth potential. We will continue to execute our effective core business strategy and employee-age tactics in response to external challenges while pursuing high-quality development. With that, I will now hand the call over to Yuan Jun to go through our financial results.
Yuan Jun Ye : Thank you, Mr. He. Good morning and good evening, everyone. Before we start the detailed discussions of our financials, please note that unless otherwise stated, all the financials we present today are in US dollar terms. Now let me start with our financial highlights for the quarter. In the third quarter, our total revenues increased by 28% year-over-year to $154 million. Revenues from apparel grew by 28% year-over-year to $127 million, representing 83% of total revenues, compared with 82% in the same quarter of 2022. Furthermore, our gross margin improved to 60% from 58% a year ago, thanks to the growth in apparel sales. Our total operating expenses were $92 million compared with $70 million in the same period of last year. The increase was mainly due to the increased selling and marketing expenses as we continue investing in building our brand awareness and driving top line growth in the face of macroeconomic headwinds. Our ongoing dedication to enhancing efficiency continues to bear fruit. Fulfillment expenses and G&A expenses were 5% and 7% of total revenues, respectively, compared with 6% and 9% respectively a year ago. We are pleased that our bottom line turned positive for the third quarter. Net income reached $0.1 million, compared with net loss of $0.4 million in the same quarter of 2022. This is a meaningful achievement, particularly within such a challenging environment, validating our strategy in pursuit of profitability improvement. Our share repurchase program progressed well during the quarter. As of November 24, 2023, we have repurchased approximately 1.35 million ADS, totally $1.8 million. Finally, for our fourth quarter 2023 guidance, based on information currently available and business seasonality, we expect net revenues to be between $130 million and $145 million. To conclude, we will continue to focus on high quality development while increasing operating efficiency across the board in the coming quarters. We believe the consistent execution of our solid financial fundamentals and core capabilities will support us in navigating the market dynamics as we strive to create a sustainable long-term value for all of our stakeholders. This concludes our prepared remarks. We'll be happy to take some questions now. Operator?
Operator:
Jenny Cai: Thank you once again for joining us today. If you have further questions, please feel free to contact LightInTheBox Investor Relations through the contact information provided on our website or Piacente Financial Communications. Have a great day.
Operator: The conference has concluded. You may disconnect your line. Thank you.